Operator: Greetings and welcome to the Nam Tai Electronics third quarter 2012 conference call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Kevin McGrath, Investor Relations for Nam Tai Electronics. Thank you, Mr. McGrath, you may begin.
Kevin McGrath: Thank you and good morning everyone. Thank you for joining Nam Tai’s third quarter conference call. On our conference call today with me will be Mr. Ming Kown Koo, Chairman and Chief Financial Officer who will begin the call with some comments about our overall operating performance and business outlook followed by more details regarding the third quarter financial results. After our comments on the quarter, we will open the call for Q&A with Mr. Koo. Today’s call is being webcast live and recorded. A copy of the press release which was issued this morning prior to the market opened along with other company information can be found on the Investor Relations page of the company’s website at www.namtai.com. This conference call will last approximately 30 minutes and after the call we can be reached for follow-up questions. During the Q&A, please limit yourself to one question and one follow-up to ensure everyone on the call who would like to ask a question as the opportunity to do so. You’re welcome to get back in the queue to ask a question. Before we begin, I would like to remind everyone that during this call we will make forward-looking statements relating to future growth, trends in our industry, and our financial and operational results and performance that are based on current expectations, forecasts and assumptions that involve risks and uncertainties that could cause actual outcome and results to differ materially. We refer you to our cautionary statements regarding forward-looking information and the company’s various public filings including the Safe Harbor statements in today’s press release. We refer you to the risk factors and uncertainties discussed in the company’s various public filings, which contain and identify factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. These filings include our Form 20-F and subsequent reports on Form 6-K filed with the Securities and Exchange Commission which can be accessed at SEC.gov. Now on to discussion of our results. Nam Tai delivered another very strong results for the third quarter as a number of our end markets have continued to demonstrate an improving demand environment and we have successfully executed transformation of our business, reflecting a mix that has significantly shifted to the production of liquid crystal display modules or LCMs for tablets and smartphones. We had sequential net sales growth of more than 85% in the September quarter with our Telecommunication Components Assembly or our TCA segment were having majority of sequential year-over-year growth. Particularly we are seeing increased demand for LCMs to display information on tablets and most recently on smartphones. Our net sales increased to more than 198% to $380.2 million for the third quarter of 2012 up from $127.6 million in the comparable quarter of 2011, with sales of the TCA segment increasing by more than 203%. Gross margin increased 470 basis points to 9.2% of net sales in the third quarter of 2012 from 4.5% of net sales in the same period of 2011. The substantial improvement in financial results is primarily due to significant increase in sales as a result of the ramping up of production of larger quantities, high resolution or LCMs for tablets as well as the commencement of production of LCMs for smartphones in September 2012 on top for existing base revenue. Other factors that contributed to the improved results include the following. The management of the company adopted the employee stock option arrangement and forfeited a cash incentive bonus of $5.1 million. We had $2 million in other interest income including $0.6 million of incentive allowance from the PRC government for the manufacturing of mechanical and electrical products; $0.9 million of interest income and an exchange gain of $0.5 million. It improves our gross and net profit by discontinuing certain sales orders that have had poor performance. We benefited from the exemption treatment and tax reduction for our Wuxi operation and a tax benefit of $1.1 million as a result of tax losses carried forward from last year. Lastly, we had a successful quarter in cost control management effectively maintaining expenses at a similar level as before even though we had a significant increase in sales. A strong cash management, cross productivity and operational performance enabled us to fund the payment of quarterly dividend for 2012. The dividend for Q4 2012 was paid on October 20, 2012 and our decision to continue dividend payments for 2013 does not necessarily mean that dividend payments will continue thereafter and will depend upon our future growth and earnings and our cash flow needs for future expansion. We are pleased to announce in our third quarter 2012 press release issued this morning that considering the company’s cash position and the future outlook for continued profitable growth Board of Directors has recommended we continue to pay a cash dividend and has authorized a 114% increase in the quarterly cash dividend payment in 2013 from $0.07 to $0.15. Nam Tai was able to achieve and improve financial performance that continues to focus on operational excellence and delivering enhanced quality, increased cross productivity, better capacity utilization and a continued focus on cost control across all aspects of our business. Consistent with our long-term business strategy, we have narrowed our focus to higher growth lower margin business opportunities but (inaudible) component assemblies, telecommunications products such as LCDs from tablets and smartphones has leveraged our core strength and expertise. In order to successfully implement our business strategy, we have and will plan to make additional capital expenditures and investments in land and building construction. Continued investment in manufacturing assembly technology will provide us with the potential to offer better and more technologically advanced services to our OEM customers. These investments are intended to improve the speed, efficiency cost and quality of our assembly processors, (more expectations) that these investments should drive higher revenue profit and EPS performance in 2013 and beyond. Overall our results were very strong in the third quarter and we thank our customers for the continued confidence and support and our employees for their outstanding contributions to the success. We are confident in our ability to build on the progress we made in the third quarter of 2012. Looking forward, the current pipeline of new business opportunities remains strong and we are well positioned with our strong balance sheet to support the required investments to attract new customers, new programs and to make our current customers successful. I’m particularly encouraged by the opportunity we are seeing in our targeted end markets such as high resolution LCD modules for tablets and smartphones. We are seeing opportunities to leverage our manufacturing expertise (inaudible) supply chain capabilities in this large and growing market. Our priorities now and going forward are focus squarely on customer relationships, the new markets and the segments of our business to drive profitable growth, expand our capabilities and support our financial objectives. In terms of our outlook over the near-term, we remain optimistic about the opportunities for additional growth. We believe that new programs we have won and the forecast mix of our end market customer demand should enable us to deliver improving sequential revenue growth for the remainder of 2012. As we have discussed, ramping revenues from these programs has really begun, however we believe the revenue growth in 2013 from these programs will likely be more significant. Many of these programs are more complex than the previous LCM production ramps which help explain some of the start-up challenges and associated cost as (we moved the whole) production. Now we will move on to a discussion of our new tablet and smartphone programs and our expansion projects. Nam Tai has two separate site expansion projects in progress, one in Wuxi and one in Shenzhen. We will address the status of the Wuxi facility first followed by an update on our Shenzhen location. In June we began the mass production of a 9.7 inch tablet high-resolution LCM project based out of our Wuxi facility. Our customer for this program is Sharp Corporation. During the third quarter we continued to ramp up production of tablets and we are pleased to report that this was a significant contributor to our improved results. On July 2, we announced that we recently entered into an agreement with the local government of Wuxi to purchase a parcel of land of approximately 470,000 square feet for the expansion of our Wuxi manufacturing facility. On July 12 a stone laying ceremony was held for the construction of the facility’s new sections, which is expected to be completed by August 2014. This expanded facility will include office folding, a research and development center and environmental and safety control center, an SMP plant and warehouse, labor union buildings and employee activity centers. For the smartphone project we initiated the pilot production of 5 inch (inaudible) LCD module for smartphone applications in August 2012 followed by the beginning of initial mass production shipment in September 2012. Our customer for this program is Japan Display Inc or JDC. JDC was launched in April 1, 2012 with the company for small and medium sized displays formed with the integration of Sony mobile display, Toshiba mobile display and Hitachi Mobile displays. The features and benefits for this is LCM include a high resolution of display, a large amount of information, a wide viewing angle and high contrast or pictures in the large display area in a slim and compact size LCM. With respect to the expansion of our Shenzhen facility, we are actively working with the Shenzhen government to facilitate the release of this land in Shenzhen, Guangming Hi-Tech Industrial Park of approximately 1.2 million square feet. And (inaudible) announcement by the Shenzhen government of a city rezoning project to redevelop this entire area containing the company’s existing Shenzhen facility into a high-end commercial district area. The whole location will no longer be suitable for any manufacturing at this time. As a result, we have been requested to move out from our existing facility and therefore the need to finalize our plan for the new location is a high priority. We are focusing our efforts and discussions with the Shenzhen government to release the land in Guangming for our development at the earliest practicable time with the expectation that the new location will be operational in approximately three years. Subsequent to the expected relocation, the company will hold the present location in Shenzhen manufacturing facility, that’s a significant valued asset for time being. After the final evaluation on the viability of our flexible printed circuit, FPC, business based on its performance in the third quarter of 2012, we decided to discontinue our FPC business at the end of March 2013, which has been generating losses since its initial production, which is a difficult decision but one that we believe better positions us for improved financial results in both the short and long-term. We are currently under discussion with certain existing customers for the manufacturing of another LCM product, which we believe will continue to drive the expansion of our existing production capacity and facilities. I will now provide a little more detail on our operating results. With respect to the discontinued low profit margin business for the three months ended September 30, 2012 and September 30, 2011, the net sales were $1.8 million and $19.8 million, gross profit loss of $0.6 million and gross profit $7.8 million, and operating income were $0.9 million and $1 million, respectively. Net sales for the third quarter of 2012 excluding the contribution from the discontinued low end (inaudible) LCD product business was $380.3 million, up 198% for the net sales of $127.6 million for the same quarter of 2011. The increase in revenue is mainly due to the ramp of production of high-resolution LCM for tablets and smartphones. Gross profit was $34.8 million for the third quarter 2012 increasing by 511% and $6 million for the same quarter last year. Gross profit margin as a percent of sales for the third quarter of 2012 was 9.2%, up 4.5% for the third quarter of 2011. The increase was driven by higher volume production of high-resolution LCMs for tablets and smartphones as well as other LCM products. Operating income was $26.8 million and led to operating margin as a percent of sales of 7%. G&A expenses increased very modestly but decreased to 1.8% of net sales in the third quarter of 2012 to 3.9% of net sales in the same quarter of 2011 illustrating the leverage for operating cost on higher level of revenue. Income from continuing business in the third quarter of 2012 was $23.8 million or $0.53 per diluted share compared to $0.2 million or zero cent per diluted share in the third quarter of last year. Consolidated net income in the third quarter of 2012 was $24.5 million or $0.54 per diluted share compared to $1.1 million or $0.02 per diluted share in the third quarter of last year. This was based on 45.3 million and 44.8 million shares outstanding on a fully diluted basis respectively. Now I’d like to turn your attention to our balance sheet. Cash generation was outstanding this quarter with cash flow from operations of $23.1 million and free cash flow at $7.5 million. Cash at September 30 was $155.2 million. As noted early, our strong balance sheet enabled us to fund the payment of quarterly cash dividends for Q4 2012 which was paid October 20 and the Board of Directors had authorized an increase in the quarterly dividend payments from $0.07 to $0.15 for 2012. Our balance sheet gives us the flexibility to take advantage of the market opportunities that drive growth and margin expansion in the future. To summaries, the third quarter net sales, gross margin and net income were all up substantially and we expect to see continued improvement in our fourth quarter. We are benefiting from the new projects that are starting to ship at a higher rate now and should continue for the rest of the calendar year of 2012 and additional new projects in the pipeline should be the starting to contribute soon. Based on the existing new opportunities we are optimistic about the rest of the calendar year 2012 and we are positioning ourselves for better results in 2013. We have never been busier in our company as we are deploying more complex solutions to enable our customers. In this environment, we benefit from our comprehensive suite of assets and we are using these assets aggressively to convert this pipeline of opportunities to growth in 2012 and 2013. I’d like to thank you for taking the time and interest in Nam Tai Electronics. Operator, we will now take questions from the participants. Thank you.
Operator: Thank you. (Operator Instructions) Our first question is coming from the line of Bill Horn with First Angel Capital. Please state your question.
Bill Horn: Good morning Mr. Koo. I would like to congratulate you on a wonderful quarter, the third quarter. My questions relate to the production ramp. You in the past have indicated the capacity of both the Wuxi tablet production and the Shenzhen smartphone production. Can you give us as investors an idea as to the units that were sold this quarter and maybe some guidance as to what you expect for the fourth quarter?
Ming Kown Koo: We can’t – (inaudible) in this quarter, third quarter and for the tablet will be around 1.2 million to 1.3 million units, for the smartphone, quarter starting from the September for the mass production. So including the (assembly launched) in August and total is around 1.5 million to 1.7 million units because of the starting and of course, of the (inaudible) the key component shortage, something like that. So it has not fully utilized our production capacity. So this is the situation for the third quarter. In case, consider about fourth quarter or in the future, it totally depends on the customer order because it’s not really stable and then even though (inaudible) and then because of the component shortage and we cannot deliver on time and then quality. So that’s why it’s quite difficult to predict, only you can predict that tablet, the capacity is the one (inaudible) deliver up to the (inaudible) now. It depends on the end market also. And also the capacity will be up monthly up to 4 million but we understand about the component delivery shortage; also, maybe not going up to the 4 million, the ceiling or maybe 90% or 85% something like that. It will happen in the coming future. Older times are changing, so time (inaudible) we have reported a market opportunity. So this is my answer to your question.
Bill Horn: Great, thank you very much. In your announcement, you indicated the winding down of your flexible printed circuit board production. That production currently happens in your Shenzhen plant, is that correct?
Ming Kown Koo: In the Wuxi.
Bill Horn: In the Wuxi. By shutting down those production ones, does that give you additional manufacturing space and labor to be able to switch over or integrate – a second production line for either tablet or smartphones in that production facility?
Ming Kown Koo: That’s true, we have the Wuxi order, the machinery production and for that we see because it is completely different from our producer LCM. So we can happily shut that space to the expansion. On the other hand, regarding the worker, because it’s a different skill for worker and then maybe we get cheap as much as we can but other else we will lay off.
Bill Horn: Okay, thank you very much. I think one additional question that might be of interest to a number of investors is as you have mentioned in Wuxi, one of your significant customer is Sharp and last week Sharp came out with somewhat disappointing earnings announcements. Can you give us your insight as to the effect that that may have on the Sharp relationship or if you see any at all when you do – how is your Sharp relationship at the moment?
Ming Kown Koo: Number one is that Sharp announced some disappointing result and actually it is not unusual because we already have figured out in a market several of the news but we cannot say about other companies’ financial situation. But in case it is difficult for them, and then a disappointing result, sure it will begin to affect our company also but it depends on how the management people can foresee beforehand and then have several protections for sales. So we will pay more attention for such kind of situation and then find out a solution. But so far right now at this moment, this still is under discussion and then for – even though for the future expansion business also. So we don’t know the final impact on how serious or something like that. So we are looking into this matter.
Bill Horn: Okay, thank you very much. I will get back in the queue and let others ask questions. Thank you very much Mr. Koo and congratulations on a wonderful quarter.
Ming Kown Koo: Thank you.
Operator: Our next question is coming from the line of Thomas Kahn with Kahn Brothers. Please state your question.
Thomas Kahn: Thank you. My question has been answered.
Ming Kown Koo: Thank you.
Operator: Our next question is coming from the line of George Berman with JP Turner and Company.
George Berman: Good morning gentlemen. Thank you for taking my question and congratulations on a great quarter.
Ming Kown Koo: Thank you.
George Berman: You mentioned in your press release that the Shenzhen facility will be essentially closed and we are looking for something to do with our land, buildings in the future. Can you elaborate on that a little bit?
Ming Kown Koo: Yes. Recently our facility in the Shenzhen, the city – the government will be considering reselling in our area to convert to a commercial area. So in front of the facility, the main highway will become the city highway, not for us, for the lorry or container to move in and out. And so, sooner or later, we are understanding about that, when the reselling is day by day to complete, it’s absolutely not allowable for us and not suitable for us to keep the facility in such area again. But the company, in a few years, we follow already – very nice and sufficient land for us, it’s over million square feet. We are planning to move out, for the land, from the government is the delay to deliver to us because some of the farmers are not agreeing to surrender the land. But we understand right now after the government has announced reselling from the city and we are understanding time is limited for us, we must consider to get the land for the new high tech industrial park, should be responsible and allowable for us to build our factory and then start the facility for us and move all the production to the new location within a few years. This is our timeframe for us to consider, we must be successful or if we are late, we will damage our whole business in the coming future.
George Berman: In the meantime, though, it sounds to me like you are formerly manufacturing (real estate) has to come high value commercial real estate in downtown Shenzhen?
Ming Kown Koo: Yes.
George Berman: Excellent. We look forward to a bright future. Thank you for your time.
Ming Kown Koo: Thank you.
Operator: (Operator Instructions) Our next question is coming from the line of Joe Pratt with Wells Fargo Advisors. Please state your question.
Joe Pratt: Good morning Mr. Koo.
Ming Kown Koo: Hi, Joe.
Joe Pratt: At the Wuxi, related to that, there have been some articles that Sharp now mass production are its IGZO technology. Can you comment on whether or not the Wuxi plant is producing that IGZO technology which would be licensed by Sharp I assume?
Ming Kown Koo: I am sorry, I am not (inaudible) people. But the Sharp customer, they are using what kind of technology, it is quite difficult for me to understand. So I don’t know the answer to you. But I can get a better answer to you later.
Joe Pratt: Okay, thank you very much.
Operator: Our next question is coming from the line of Spencer Larson with Morris and Habbit (ph). Please state your question.
Unidentified Analyst: On the Sharp issue, there was a comment last week that it might become a non-operating concern with an accounting (ph) letter. How would that affect your business if at all?
Ming Kown Koo: For us that strategy is we will keep on servicing our customer but we are looking for the business. It will make the company profitable together if we secured payment. So all the time management people will consider and will take care about that. So we will discuss very closely with the customer to find out what is the impact to us. In case of business, if we are without profit or the payment is not secure, and then the company will be considered to cease business. We cannot stop the order. But so far the customer doesn’t indicate and then – not honor the payment or the request us to have the cost reduction and to make the company have a loss position has not yet happened at this moment. We are having close discussion with customer to find out everything and prevent something from happening. But right now the order is on sail (ph). This is immediately we can fund now, for order (inaudible) around 400, 500, 1000 unit a month, is not up to original idea for the one million, this is – we can find out.
Unidentified Analyst: That’s good, I am satisfied with the answer. But are there any letters of credit or sort of devices you might deploy to further protect yourself against non-payment?
Ming Kown Koo: Sure. This is one of the concerns. But it is not up to this moment. And we also have considered that some components is related to the customer and then guarantee and then introduce us and then for us to get the delivery from the other component. So company you can find out our account payable is coming up because we also have a credit from the other component supplier. So we are linked up together.
Unidentified Analyst: Right. I understand that thoroughly, it’s just ongoing concern issue that then how that would be handled in – because they sometimes can surprise you and so if you can take the most precautions you can. And then of course, the (inaudible) the question is – since you do have a contract with Sharp and they had an ongoing concern issue, could that business be picked up by one of the other companies because the demand is so great for the product?
Ming Kown Koo: It’s quite difficult to say that because mainly the LCD panel is produced by the customer and buyer is considered to using several key components, LCD panel, the maker and there to boost few of the high end – the panel for the LCD module for the product in the market. So it is not our decision and then it is quite difficult to replace because there must – our customer must be also is the panel maker. The panel maker unlimited in Japan or Korea, something like that. So what I say it’s not so easy to find another one to replace that.
Unidentified Analyst: That’s good. So what you are saying is that the panels are critical part of the overall product and might continue or would continue until possible cash flow problems or maybe somebody buys that business and continues with your contracts. I am looking for a permanent kind of aspects of the business under all conditions.
Ming Kown Koo: We don’t want anything to happen right now but this is basically one of the solutions, everybody will consider like that. And then you will find out the strategy and then we will continue the business. So up to this moment, I don’t know what happened because this is not our company’s business, we are not – certainly we don’t know what they are considering but this is a normal way for making a solution right there and in the market and then we are looking – they can continue to settle down all the issues and then continue the business with us. I think that for the business we have seen the company and customer shop may be relatively impacted in worst case. But I don’t think this is serious because we cannot find out – in other customer we pay the shop, we can find out other business in other area and then maybe not produce the same product, but can produce other products, there still is LCM business. So still we can consider in ourselves, we can continue the business.
Spencer Larson: Good, thank you.
Operator: Thank you. Our next question is come from the line (inaudible) Well Fargo Advisors. Please state your question.
Unidentified Analyst: Good quarter Mr. Koo. Congratulations. I am interested in the timetable on building out your land acquisition at Wuxi. You mentioned in your press release that it should be completed by August of 2014. That seems like a long way out knowing that your employees are currently not living on site and are being bused in and bused out every day. How quickly do you think those dormitories could be constructed?
Ming Kown Koo: The dormitory are the same, we must have a layout, and then find out a constructer and then a build a dormitory or something like. But you would not be interested to ask how much, only it’s a little bit inconvenient to bring the worker either from the outside dormitory to the bus, to the factory and of course, a little bit coming on higher. So it’s not a serious impact. And we hope that the dormitory can be built on time and more earlier and then to will make it more convenient to gathering all the worker and then the of course, all can be controlled coming down.
Unidentified Analyst: Thank you.
Operator: (Operator Instructions) Our next question is coming from Bill Horn with First Angel Capital. Please state your question.
Bill Horn: Hi, Mr. Koo. Sort of a follow-up on Spence’s question as well. With regards to the expansion at Wuxi, the expansion is related to sort of ancillary facilities, not production facilities at Wuxi. Do you have sense as to how much you can grow production at Wuxi during this expansion period?
Ming Kown Koo: For assisting facility, we are considered to continue the production and then it will create a couple of the (inaudible) compared with right now. And so, even though we follow the production facilities up in the new land besides us, but still we can double the sales revenue. And most important is that we must be gathering the worker to the factory to allow them to work closely, take a walk beside our factory, build up the dormitory and then give them the food, facility for them to using for activity or gathering together. So these are good for the worker for the health or something also is good consideration. That why we consider to expansion to have such kind of facility.
Bill Horn: Great. So you are looking at being able to double the capacity. That’s great. Thank you very much.
Ming Kown Koo: Thank you.
Operator: (Operator Instructions) Our next question is coming from the line of Spen Carlin (ph) with Wells Fargo Advisors. Please state your question.
Unidentified Analyst: Mr. Koo, could you address your labor situation? Now I know that last year you had some problems and were forced to let some people go and since then you built your labor force considerably. Can you give us a feel as to how many new labors you are hiring on a monthly basis and where your current headcount is versus where was it a year ago?
Ming Kown Koo: I will divide into two part to mention about that. Number one, in Wuxi, we are maintaining right now is around 4,000 to less than 5,000 total headcount in the Wuxi. In Shenzhen right now, it’s up to around just a little bit below the 7,000, the headcount in Shenzhen. According to forecast from the customer, then we can consider in coming future we will increase capacity necessary to produce more quantity, this is the initial idea from the customer. We don’t know that actually, they are successful or not and then we are interested to ask or not, we (inaudible). And then we have a good headcount in the Shenzhen area around 1500 people per month because the company image and the facility and then the environment, everything is compared is good compared to others companies. So it is easy for us to gathering the necessary headcount that we need. So this is our advantage.
Unidentified Analyst: Thank you.
Operator: As this brings us to the end of our Q&A session, I would now turn the floor back over to Mr. Kevin McGrath for closing remarks.
Kevin McGrath: Again, thank you all for your interest and participation in today’s call. I will look forward to speaking with you during our fourth quarter and year-end 2012 conference call at the end of January. Thank you again and have a great day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time and we thank you for your participation.